Operator: Good morning ladies and gentlemen. My name is Lindsay and I will be your conference operator on this call. After the presentation, we will conduct a question and answer session. Instructions will be provided at that time. If at any time during the conference you need to reach an operator, please press the star key followed by zero. Please note that this call is being recorded as of today, Tuesday, February 14 at 8:00 am Central time. I would now like to turn the meeting over to your host for today’s call, Aaron Hoffman, Vice President of Investor Relations at TransUnion. Please go ahead.
Aaron Hoffman: Good morning everyone and thank you for joining us today. This morning, I’m joined by Jim Peck, President and Chief Executive Officer, and Al Hamood, Executive Vice President and Chief Financial Officer. We’ve posted our earnings release on the TransUnion Investor Relations website at www.transunions.com/tru. Our earnings release includes schedules which contain more detailed information about revenue, operating expenses and other items, including certain non-GAAP financial measures. Reconciliation of these non-GAAP financial measures to their most directly comparable GAAP measures are also included in these schedules. As a reminder, today’s call will be recorded and a replay will be available on the TransUnion website. We will also be making statements during this call that are forward-looking. These statements are based on current expectations and assumptions and are subject to risks and uncertainties. Actual results could differ materially from those described in the forward-looking statements because of factors discussed in today’s earnings release and the comments made during this call and in our most recent Form 10-K, Form 10-Q, and other reports and filings with the Securities and Exchange Commission. We do not undertake any duty to update forward-looking statements. With that, let me turn it over to Jim.
James Peck: Thanks Aaron, and good morning to everyone joining us on the call and webcast today. TransUnion had a very strong full year and fourth quarter in which we delivered double-digit revenue, adjusted EBITDA and adjusted EPS growth along with strong cash flow. These results are all the more impressive when put in the context of the past three years. Looking at the three-year CAGR, revenue grew 13%, adjusted EBITDA grew 16%, and adjusted EBITDA margin expanded by about 300 basis points, and since 2014 adjusted EPS has nearly doubled. This impressive performance has come from broad-based innovation-driven growth across the company and reflects the incredible progress we’ve made in building TransUnion into a leading information services company. It is the outcome of our strategy to fully and effectively leverage the power data assets and analytical capabilities within the company by layering end market and geographic growth opportunities on top of our core assets to consistently deliver top tier performance. Underpinning this broad strategy is a series of five focused, highly impactful themes that provide the engine for our current and long-term growth. They are: driving growth through innovation, expansion into new vertical markets, growth in international markets, capitalizing on growth opportunities in consumer interactive, and global operational excellence. I’m going to spend the majority of my time today walking you through these themes and how we have benefited and will benefit from them over the long term. You’ve heard us talk frequently over the past several years about driving growth through innovation. That has been a meaningful catalyst for our strong results for several years now, and I have no doubt innovation will continue to fuel growth in the future. In fact, new products, emerging markets, and high growth verticals have generated approximately 50% of our growth in each of the past three years, which represents about $300 million of our revenue growth over that time. As we look at our three-year plan, we would expect a similarly strong contribution from new products, emerging markets and high growth verticals, which is why innovation and focus on higher growth markets is critical to our strategy. Let me walk you through some examples of how innovation has been paramount to our success. We have made significant investments in technology over the past four years that enable rapid innovation and successful customer partnerships. We’ve talked to you previously about our next generation technology platform, which is fully operational in the U.S. and rolling out to our international markets now. The new platform has helped reduce cost and is a critical enabler for our pipeline of new product growth initiatives by allowing us to more effectively utilize our powerful data assets while also considerably reducing cycle time for customer projects. With our technology re-platforming as a foundation, we are even better positioned to leverage our data and analytics in innovative ways to help customers access, analyze and model more effectively by closely partnering with TransUnion. A great example of this is Prama, which puts the power of TransUnion’s data sets and analytical capability into the hands of our customers. Prama was launched in March of last year and is still in early stages, and customer feedback has been very positive. Built on our industry-leading analytical environment called Shape, which has more than 120 months of consumer data, Prama utilizes 84 months of that data and includes the full national credit file and in total has 350 billion rows of data. As a web-based on-demand product, this enables our customers to make and operationalize better decisions. They can quickly see for themselves how their decisions compare to the market and how changes in strategy might impact their financial performance. Effectively, we give our customers real-time access to critical decisioning and modeling capability utilizing TransUnion’s data sets. One innovation that is fully delivering on its commercial potential is our industry-leading trended data offering. We launched CreditVision in 2013 and have led the industry with 30 months of trended FCRA compliant data, and the only product in the market that is usable in any lending application. Fundamentally, CreditVision gives lenders more predictive scoring to better manage risk. Since its launch, we’ve built our business in card, auto and consumer lending. Last fall, Fannie Mae began requiring CreditVision for mortgage resellers. This resulted in a lift for our mortgage business in the final five months of 2016 and will continue through the first seven months of 2017. Importantly, CreditVision isn’t just a U.S. product. We successfully launched it in Canada and Hong Kong. In fact, we grew 20% in 2016 on a constant currency basis as we utilized our first mover advantage with CreditVision to deliver significant share gains that allowed us to outperform the market. In 2017, we are continuing to roll out CreditVision in Colombia, South Africa and India. This example speaks to our belief that innovation is scalable and transferrable on a global basis. CreditVision isn’t the end of our trended data story. Late in 2015, we launched CreditVision Link that marries trended credit data with alternative data sources. This revolutionary product enables lenders to effectively score approximately 23 million addition U.S. consumers considered thin or no-file borrowers with no material change in risk for lenders. This is another unique innovative offering that is gaining significant traction in the marketplace. Fraud and ID protection is another area where we are using innovation to solve important customer and consumer needs. In January of this year, we launched IDVISION, a suite of solutions providing businesses with a holistic approach to fraud and identity management that helps companies to stop sophisticated fraud. We developed this valuable capability internally and through the 2015 acquisition of Trustev. As you can see, innovation has become the lifeblood of TransUnion and we are realizing significant benefits today, and just as importantly, we have a robust pipeline in place with much more to come. The second theme I want to discuss is our expansion into new vertical markets. We have largely been growing revenue at solid double-digit rates and should continue to do so for the foreseeable future. Let me start with healthcare. This is a key area of focus for TransUnion as it enables us to leverage our core capabilities of data technology and analytics in an attractive fast-growing market that further diversifies our business. In 2016, this vertical grew 21% as a result of innovation as well as meaningful new customer and partner wins, which led to a substantial increase in the number of hospitals we serve. In fact, we’ve seen strong double-digit growth for the healthcare business every year since 2011. Our focus in healthcare is in revenue cycle management, helping healthcare providers reduce uncompensated care costs and improving their cash flow. Our front end suite of products addresses patient identification and authentication, verification of insurance coverage, patient payment estimation, patient propensity to pay, and presumptive charity determination. Our back end product, ESCAN, addresses accounts receivable management, collections, and insurance coverage discovery after services are rendered. To date, we’ve identified more than $1.3 billion of reimbursement for our partners. In 2016, we made two strategic bolt-on acquisitions, Auditz and RTech, to bolster ESCAN. Both transactions bring new customers, technology and data assets, strengthening our leading position in this very attractive, fast-growing market. The net results has been to improve our yield in identifying coverage for our partners. Given the potential changes to the Affordable Care Act, it’s important to remind you that our growth in eligibility estimation and coverage discovery has come from our focus on commercial payor solutions. Our growth has not been tied to the health exchanges or the Affordable Care Act. Because of this, we don’t anticipate any negative impact to our key solutions, including eligibility, estimation and coverage discovery if the ACA remains, is altered in some fashion, or repealed entirely. Our insurance vertical also has experienced strong growth through both innovation and acquisition. On the innovation front, we continue to see strong market adoption of our risk clarification platform which utilizes our fraud and ID capabilities, along with vehicle history data to help insurers validate critical information about consumers and the insured asset in the underwriting process. Our acquisition of DHI, or Driver’s History in 2015 has bolstered our position with insurers. This innovative product allows insurance companies to quickly and cost effectively look for any potential red flags on a consumer’s driving record without purchasing a more costly motor vehicle report. By using this solution, our customers save money and in certain instances gain additional valuable information about a consumer’s driving history. In 2016, we added four additional states, bringing our total to 30 while also adding more than 300 new data sources to DHI. In 2017, we expect to expand into additional high impact states. We have also built a strong offering in the rental screening market which provides meaningful growth and an attractive counter-cyclical element to the mortgage market. The innovative product in this vertical is SmartMove, which provides access to high quality tenant screening tools all while protecting the applicant’s private information. SmartMove helped this vertical deliver 17% growth in 2016. In addition to healthcare, insurance and rental screening, we have built a number of other fast growing smaller verticals, like government. Taken together, our growth verticals provide both dynamic catalysts to growth and a much more diversified portfolio. Our growth in international markets, our third theme, continues to be a terrific story and has brought valuable diversification to our portfolio. In 2016, international delivered constant currency revenue growth of 23%, constant currency adjusted operating income growth of 47%, and adjusted operating margin expansion over 500 basis points. This was driven by a balanced global footprint that is two-thirds emerging and one-third developed markets. We have made a concerted effort to build our emerging market position as we feel that they will provide the best long-term growth opportunities. With focused investments in emerging markets, we have built a number one position in India and South Africa, as well as leading positions throughout Asia Pacific and Latin America. Emerging markets grew revenue 26% in constant currency in 2016. We also have outstanding businesses in developed markets that have delivered very strong growth. We operate in two markets outside of the U.S.: Hong Kong, where we are the only bureau and hold a number one position; and Canada, where we are significantly outperforming the market behind innovation driven share gains, as I mentioned earlier. In 2016, developed market revenue grew 17% in constant currency, fueled by innovation and customer wins. In both emerging and developed markets, we are executing a strategy built on our successful U.S. business. That provides us with significant opportunities to deepen our penetration and gain share by globally leveraging enterprise solutions as CreditVision, fraud and ID, and insurance, to name a few. To further facilitate our growth, in 2015 we undertook a thorough review of our international costs and overall organizational structure. The result is a more highly efficient organization that benefits from newly established centers of excellence. As we layer high growth opportunities onto our existing international positions, we fully expect to continue to drive very strong growth over the long term. Moving from international to consumer interactive, we have the opportunity to drive solid growth through many new partners, verticals, and geographies. Last year, we update you on the long-term extension to our agreement with CreditKarma. We are very excited to continue the relationship that began when CreditKarma was just starting out and continues to be very fruitful for both of us. I’m also pleased to tell you that we recently signed a strategic partnership agreement with CreditKarma to power their offering in Canada. Late in 2016, we signed another significant partnership agreement, this time with Chase who is providing credit scores to all consumers, not only Chase customers. This program is just starting to roll out and should ramp over the course of 2017. We’ve used strategic alliances to access new customer segments. A good example of this is SavvyMoney, which provides credit scores, credit monitoring, and financial education for credit unions and their members. Under our new strategic partnership, TransUnion will help SavvyMoney expand its distribution and address unmet needs in the financial services industry while we gain greater access to the largely untapped credit union market. We also continued to expand our footprint internationally and are already in Canada, India, Hong Kong and South Africa, while we continue to build our business in Colombia. Our international expansion will be enabled by a proprietary technology platform that we developed, called Atlas. This leads me to our final theme: building global operational excellence across TransUnion. I touched earlier on our global next generation technology platform, which is a key enabler of our growth. Similarly, we have built a global product organization to rapidly scale new products like CreditVision and Prama, and we have put in place global sales and marketing best practices as well as market-specific thought leadership that drives client engagement and ultimately incremental revenue generation. Taken together, these growth themes along with the positive macroeconomic backdrop give us great conviction in our ability to grow in 2017 and for the long term. Let me spend a few minutes on the macro environment. In the U.S., positively we continue to see a healthy consumer and a buoyant credit market. In an environment with modest rate increases and therefore modest inflation, you would expect the impact to be fairly positive. Let’s step back and look at the U.S. market. Looking at the mortgage market, we undertook an extensive review of about 165 million mortgage inquiries over the recent three-year period. Combined with various public estimates of refinancing and purchasing volumes, we were able to get a good read on what we think would happen in 2017. We believe that refinancing volumes could drop somewhere in the teens while purchases may grow in the low single digits. On a volume basis, this would yield a mid to high single digit decline in our mortgage volumes. Assuming constant pricing, this would result in less than a 1 percentage point headwind to our total business in 2017; however, with our tiered base pricing model and the continued roll-out of CreditVision, we expect this business to grow in 2017. Of important note, given our diversification strategy over the last several years, mortgages are now only about 7% of total TransUnion revenue today, and as our other verticals continue to grow rapidly, mortgage will become a smaller piece of our portfolio over time, even with the modest growth of that business. Now looking more broadly across other sectors of the financial services markets, we believe in a modestly inflationary environment that home prices will likely rise, creating more equity for homeowners and thus more appetite for HELOC products. Card and consumer lending continue to show positive trajectories, while auto is likely to be soft, and financial services marketing would likely be a beneficiary as financial institutions seek to market more aggressively to consumers that are in a better financial position. On top of this positive view on the U.S. consumer, we remain bullish on our international markets, and the global economy broadly speaking remains in good shape. Specifically, we see strong consumer credit environments in India, Asia Pacific and Canada. Latin America in total is solid and highlighted by particular strength in Colombia. In each of our international markets, we are well positioned to capitalize on these positive trends with innovation and expansion into new verticals, like insurance and direct to consumer, as I discussed earlier. That wraps up my look at our five growth themes: driving growth through innovation, expansion into new vertical markets, growth in international markets, capitalizing on growth opportunities in consumer interactive, and global operational excellence. These themes, along with the favorable macro backdrop position us nicely for the future and allow us to repurchase up to $300 million of stock over the next three years. Al will provide you with more details, but our ability to repurchase shares is a good reflection of the very strong operating and cash flow performance of our business. We are now in a position to begin returning capital to our shareholders eve as we continue to aggressively invest in all the growth themes that I’ve discussed. With all that as background, let me give you our high level guidance and then Al will take you through more details. As I lay out our guidance, a couple quick points about our assumptions for acquisition and FX impact. Acquisitions should add one point of revenue growth to the full year and 1.5 points to the first quarter. We expect FX to have no significant impact for the full year or the first quarter on either revenue or adjusted EBITDA. Now turning to our guidance for full year 2017, we expect revenue to come in between $1.835 billion and $1.850 billion, an increase of 8% to 9% on a reported and constant currency basis. Adjusted EBITDA for the year is expected to be between $710 million and $725 million, an increase over last year of between 12% and 14% on a reported and constant currency basis. This results in expected adjusted EBITDA margin of approximately 39%, an increase of approximately 150 basis points over 2016 even as we continue to reinvest in our business. Adjusted diluted earnings per share for the year are expected to be between $1.71 and $1.76, or 14% to 17% growth. For the first quarter of 2107, we expect the following: revenue should come in between $440 million and $445 million, an increase of approximately 8% to 9% on a constant currency basis. Adjusted EBITDA is expected to be between $162 million and $165 million, an increase of approximately 14% to 16% on a constant currency basis. Adjusted earnings per share are expected to be between $0.38 and $0.39, an increase of 19% to 22% compared with the first quarter of 2016. Now I’ll turn the time over to Al to walk you through the financials and provide you with more details on our guidance. Al?
Al Hamood: Thank you, Jim, and good morning. Today I’m going to walk through our consolidated and segment results, through adjusted operating income, and review the balance sheet and cash flow statements. I will then finish up with a discussion of key assumptions concerning 2017 guidance. Fourth quarter consolidating revenue was $436 million, an increase of 13% on a reported and constant currency basis compared with the fourth quarter of 2015. Revenue from acquisitions contributed about 3 points of growth in the quarter. Adjusted EBITDA was $169 million, an increase of 24% on a reported and constant currency basis compared with the fourth quarter of 2015. Furthermore, adjusted EBITDA margin was 38.8%, an increase of 340 basis points compared with the fourth quarter 2015. Adjusted net income was $82 million, an increase of 46% compared with the fourth quarter 2015. Adjusted diluted EPS was $0.44, an increase of 45% compared with the fourth quarter 2015. The adjusted effective tax rate for the fourth quarter was approximately 34%. During the fourth quarter, we completed an initiative to assess and calculate U.S. taxable income reductions for our software development and research and development activities. The benefits of this went into effect in the fourth quarter, which resulted in the full-year benefit being fully recognized in the quarter and significantly reducing rate. We fully expect this benefit to continue in 2017 and going forward, and it is reflected in the full year tax rate 2017 guidance that I will discuss shortly. Now let me walk you through the details of our P&L. As I mentioned, fourth quarter revenue was $436 million, an increase of 13% on a reported and constant currency basis compared with the fourth quarter of 2015. Cost of services was $145 million, an increase of 4% compared with the fourth quarter of 2015 due to continued investment in key strategic growth and productivity initiatives, increased product costs resulting from the increase in revenue, and increased operating expense related to recent acquisitions. This was partially offset by savings enabled by our next generation technology platform and other productivity-related initiatives. SG&A was $146 million, an increase of 14% driven primarily by the settlement with the CFPB and related costs. Excluding the settlement and related costs, SG&A would have been roughly flat compared with the fourth quarter 2015. Depreciation and amortization was $56 million, a decrease of 20% compared with the fourth quarter 2015. This decrease was due primarily to retirement of assets as a result of the implementation of our next generation technology platform. Adjusted operating income was $146 million, an increase of 33% compared with the fourth quarter 2015, driven primarily by the increase in revenue. Now looking at the segment revenue and adjusted operating income, U.S. IS revenue was $268 million, up 15% compared with the fourth quarter 2015, driven by strong growth across all platforms, starting with online data services which revenue was $170 million, an increase of 16% driven primarily by an increase in credit report volumes and our new product growth initiative, particularly CreditVision. Marketing services revenue was $45 million, an increase of 7% due primarily to increased batch activity, and decision services revenue was $53 million, an increase of 18% due primarily to revenue growth in our healthcare, financial services, rental screening, and insurance verticals. Adjusted operating income for U.S. IS was $93 million, an increase of 38% compared with the fourth quarter of 2015, due primarily to the increase in revenue. This strong growth was partially offset by increased product costs resulting from the increased revenue and investments in strategic growth initiatives. International revenue was $86 million, an increase of 24% or 23% on a constant currency basis compared with the fourth quarter 2015. Revenue from recent acquisitions contributed approximately 10 points of growth in the quarter for international. Emerging markets revenue was $57 million, an increase of 29% or 28% on a constant currency basis. Developed markets revenue was $29 million, an increase of 14% or 15% on a constant currency basis. Adjusted operating income for international was $29 million, an increase of 48% compared with the fourth quarter 2015. On a constant currency basis, adjusted operating income increased 47%, driven by increase in organic and acquired revenue along with savings enabled by productivity initiatives. This resulted in a 550 basis point increase on a constant currency adjusted operating margin expansion in international during the quarter. Consumer interactive revenue was $97 million, approximately flat compared with the fourth quarter 2015. The results are well aligned with our expectations and what we communicated on our previous quarterly calls. As previously discussed, we expect revenue in this segment to be flat to slightly down in the second half of 2016, due primarily to moderated growth related to our new long-term agreement with CreditKarma and a decrease in revenue associated with one of our indirect channel partners that was acquired by a competitor, along with a particularly tough comp in the fourth quarter 2015 due in part to one-time revenue in the fourth quarter of 2015 related to a third party breech. Adjusted operating income for consumer interactive was $45 million, an increase of 7% compared with the fourth quarter 2015. Now moving onto the balance sheet, cash and cash equivalents were $182 million at December 31, 2016, and $133 million at December 31, 2015. Total debt, including current portions of long-term debt, increased to $2.4 billion at December 31, 2016 compared with $2.2 billion at December 31, 2015. This was primarily due to the financing of the CIFIN acquisition in Colombia. As of December 31, 2016, we had access to all of the $210 million revolving credit facility. I also want to point out that in January 2017, we refinanced our Term Loan B, which represents about $2 billion of our $2.4 billion in debt, and reduced the coupon by about 25 basis points. At the same time, we extended the maturity of that loan by two years to April 2023. This helps mitigate some of the impact of higher rates and locks in very attractive financing for a longer duration. Now moving onto the statement of cash flows, for the 12 months ended December 31, 2016, cash provided by operating activities was $390 million compared with $309 million for the same period in 2015, due primarily to the increase in operating performance along with a decrease in interest expense. Cash used in investing activities was $496 million compared with $197 million for the same period in 2015, due primarily to an increase in cash used for acquisitions. Capex was $124 million compared with $132 million for the same period in 2015. Cash provided by financing activities was $154 million compared with the use of cash of $51 million for the same period in 2015, due primarily to additional borrowings in 2016 to finance acquisitions. Further, our leverage ratio is now 3.4x net debt to adjusted EBITDA. We have consistently articulated a net leverage target of approximately 3.5x. This improvement and continued deleveraging is principally due to our strong cash flows and growing adjusted EBITDA. Given the reduction in our leverage and our continued optimism about our long-term plans, it makes sense to provide you with an update on our capital allocation strategy. First and foremost, we will continue to focus on organic investments and superior strategic acquisitions, both of which continue to yield compelling long-term returns, as both Jim and I have discussed today; however, we are now in a position to begin to return capital to our shareholders and we will do so through a share repurchase program. We expect to buy back up to $300 million of stock over the next three years and repurchase roughly and approximately one third each year. Given our strong cash flows, we are able to service our debt, opportunistically buy back a significant amount of shares, and importantly still continue to aggressively invest in organic and M&A opportunities. Before I hand it back to Jim to conclude, I want to reiterate the high level guidance Jim provided and offer additional 2017 guidance related to segment revenues and other key financial metrics. Again, here is our guidance for the full year 2017: revenue is expected to increase 8% to 9% on a reported and constant currency basis, adjusted EBITDA is expected to increase 12% to 14% on a reported and constant currency basis, adjusted diluted earnings per share are expected to grow 14% to 17%. Now let me give you a bit more color. The 8% to 9% constant currency revenue growth for 2017 breaks down as follows. We expect U.S. IS revenue growth to be in the high single digits with double-digit growth in our new and emerging verticals, such as healthcare, insurance and government, and mid-single digit growth in our more established core verticals driven by new product initiatives and a favorable macroeconomic backdrop. We expect international revenue growth to be in the low double digits on a constant currency basis with strength in both developed and emerging markets. Finally, as we previously communicated, we expect consumer interactive revenue in the first half of 2017 to be flat to slightly down due to our new long-term contract with CreditKarma and the completion of an acquisition of one of our indirect channel parts by a competitor. Once these two items lapse, we expect growth in the second half of the year to be in the mid single digits. Our anticipated revenue growth of 8% to 9% and adjusted EBITDA growth of 12% to 14% results in adjusted EBITDA margin increase of approximately 150 basis points from 37.3% of what we achieved in 2016 to approximately 39% in 2017. To further assist you in modeling TransUnion for 2017, I’d also like to give you some guidance on some specific financial items. For 2017, we expect total depreciation and amortization to be between $250 million and $255 million. We expect depreciation and amortization not related to our 2012 change of control transaction and our subsequent acquisitions to be between $115 million and $120 million. This is a slight increase from 2016 due to ongoing capital expenditure investments in our business over the last few years which continue to improve our ability to efficiently and effectively serve our customers. We expect interest expense net of interest income to be between $85 million and $90 million in 2017 compared with $81 million in 2016. The slight increase is primarily attributable to the impact of rising rates on one-third of our debt that is unhedged, partially offset by the benefits of refinancing our Term Loan B that I discussed a few minutes ago. For 2017, we expect our adjusted effective income tax rate to be between 36% and 37% compared with our 2016 rate of 37%. As I noted earlier, during 2016 we executed on key strategic tax initiatives to decrease our overall adjusted effective tax rate. We expect these initiatives to continue to drive down our adjusted effective tax rate in 2017 and beyond. In 2017, we expect our diluted share count to be between 189 million and 190 million compared with 185 million in 2016. The increase is primarily due to the dilutive impact of performance options granted in 2012, which will enter our diluted share count assuming certain performance conditions are met during 2017. We expect this share count increase to be partially offset by share repurchases under our new share repurchase program. Finally, we expect 2017 capex to between $130 million and $135 million, or approximately 7% of revenue. That concludes my review of our financial results and key 2017 guidance assumptions. I will now turn the call back to Jim to conclude.
James Peck: Thanks Al. To wrap up, TransUnion continues to deliver outstanding broad-based top and bottom line financial results, and we are well positioned to see this performance continue in 2017 and beyond. We remain focused on growing through innovation, diversifying through new faster growth verticals, expanding internationally, continuing to strategically build our consumer interactive business, and driving global operational excellence. We remain in an enviable position with significant growth prospects, meaningful opportunities to invest organically and through acquisition, and should benefit from a largely positive macroeconomic backdrop. All of these points give us great conviction in our 2017 guidance and allow us to begin appropriately returning cash to our shareholders in the $300 million share repurchase program we announced today. I will conclude by simply saying that TransUnion has never been in a better position, and we are very bullish about the next chapters in our history. Now let me quickly turn the time back to Aaron.
Aaron Hoffman: That concludes our prepared remarks for today. For the Q&A, we ask that you limit questions to one. Now we’ll be good to take those questions.
Operator: [Operator instructions] Your first question comes from the line of Manav Patnaik with Barclays. Your line is now open.
Manav Patnaik: Thank you. Good morning gentlemen, and congratulations on the results. I guess my question, I’ll focus more on the healthcare side of things. I think you called out 21% growth - that’s the first time you’ve given us an explicit number in healthcare. I think in the guidance, you implied continued double-digit growth there. So a two-part question - one, in terms of--you know, I think you’ve talked about before at some point that the rate that it’s growing, you’re going to have to break it out, so just wondering in terms of where we are from a sizing perspective and just some thoughts around the new administration and if you see that impacting your ability to grow in healthcare at all.
James Peck: Sure, Manav. So we don’t have a definite time period for when we might break it out. I think what we’ve told you before is that it’s a meaningful portion of our revenue, and at some point we’ll be required to break it out and we will do that. Regarding the new administration, just given the dynamics, there’s really not an impact on us from any change in the Affordable Care Act or anything that--what we’re combating or what we’re helping with is just the confusion that exists in the market for consumers and providers, and we don’t see that getting any better or, frankly, any worse [indiscernible] given any of the things that the administration might do. Our pipeline is really strong. We still have a long way to go to fully penetrate the market, so it’s a business that’s not on the verge of tipping over into meaningfully penetrated, and with the two acquisitions we’ve made, we’ve really put ourselves in a nice position just kind of geographically as well as the different kinds of hospital systems that we see. It’s just a real strong grower, very clear line of sight going forward.
Operator: Your next question comes from the line of George Mihalos with Cowen. Your line is now open.
George Mihalos: Great. Nice job, guys, nice results. Just wanted to ask, the outlook as it relates to margin expansion, the increase of 150 basis points, which is certainly a lot more than what we were thinking originally, can you maybe rank order for us by segment - you know, U.S. IS, international, and I guess to a lesser extent consumer - where we should really look for the bulk of the margin expansion to be, or at least kind of rank order the three segments, please.
Al Hamood: Sure. I think first and foremost, let me start at the adjusted EBITDA margin. Since 2013, we’ve grown adjusted EBITDA margin by almost 300 BPs, and we expect this year based on the guidance we’ve provided you to add another 150 basis points. A significant improvement that we’ve experienced is a combination of very strong top line growth and focus on high impact productivity initiatives, which is driving obviously EBITDA margin but then too making its way down to operating income margin. I think as we look forward, you’ll see continued expansion across our businesses and across each business. I don’t know if there’s one that’s going to particularly outweigh the other because all of them this quarter, and for 2017 as we talked about, are showing nice top line growth while we continue to look at across each one of them ways to further scale and leverage our IT, our sourcing and our infrastructure. So I would assume you’re not going to see any massive step function change in margin growth in one particular business. It will be growth across the board, across each business. We’re going to continue to focus on growing margin, as we’ve said, and the long term objectives that we gave, and we’re on the road show and we continue to talk about, always has implied margin expansion in it.
Operator: Our next question comes from the line of Gary Bisbee with RBC. Your line is now open.
Gary Bisbee: Hey guys, good morning, and I’ll add my congratulations on an incredibly strong year. I guess I just wanted to ask, innovation has been a huge change element in the business in the last few years. Can you give us a sense, when you think about your pipelines and when you think about the road map that you’ve followed thus far, where are we in that? And maybe just two sub-questions - are these new growth verticals more a penetration story or is there real innovation and broadening of the offerings there; and within the core financial services market, do you still have a pipeline of new opportunities to create growth streams from more sales of the existing data assets? I mean, you just had so much progress, the question is how much longer can it go? Thank you.
James Peck: Yes, some good questions. That’s pretty much the name of the game - how do we keep innovating so that we can continue to drive growth? We’ve structured the organization in such a way that there are people who are specifically responsible consistently working those ideas by really intimately understanding their markets, which I think I’ve explained before, and that kind of controls the demand side - you know, what is it the market needs? Then on the supply side, we now have firmly in place our technology platforms and our analytics platforms so that we can deliver this stuff, because we can program, simply program much faster and act on the data much faster. The other part of the formula that’s really working now is the people who are building this platform called Spark, they’re now working on innovation that is actually driving incremental revenue specifically, rather than infrastructure, so we’ve also increased our capacity to deliver. Then more specifically to your question, things like CreditVision, and even CreditVision Link but specifically CreditVision, obviously they’re starting to really penetrate the market and they’re kind of in their golden period, so to speak. As we continue to take share, because we have--the version of CreditVision in the U.S. can be used on any credit type application, not just mortgage, so we’re seeing ourselves gain a lot of market share there. You’ve seen how it’s worked in Canada, and we’ve just--and I’ve told you, we have it in Hong Kong and now we’re introducing it into our newer markets, or our other markets like Colombia and India. CreditVision Link, which is an alternative data version of that, for example, is just getting its legs, and I think we’ve used baseball examples before so this guy is probably just starting to round first and still has a long way to go. We’ve told you about things like SmartMove, which is a rental screening application - that has a tremendous amount of penetration still to go. So I guess I’m just giving you a bunch of examples - I can continue on fraud, digital, our DHI. These things are all in market, but they still have a lot of runway to grow. Then there’s things like Prama and something we’ve called Shape, which are these really powerful analytic platforms. Those are going to have legs for a long, long time - actually, all these things are, but those will as well, and they’re just starting to get market acceptance, not only in the U.S. but will also happen internationally. We also have other things in our pipeline that we don’t really talk about yet because it’s too early, and then we’ll just let everyone down when they're not out. Most of these things like Prama have been in development for several years, we just don’t talk about them until they come out, and I think anyone would tell you that’s how innovation really happens. It just doesn’t happen all at once, it’s by having a steady pipeline, and you probably don’t even hear our failures, but that’s part of this whole equation right now. So we feel like we’ve got a long way to go in the U.S. and in our core markets, which are driving a good chunk of our growth, but also in our new verticals and internationally, so the equation is kind of working where we have many layers of growth. We can’t always tell you exactly how they’re going to impact because some of these are really new things, but we always believe we’ll be at the top end of our industry as far as top line growth.
Gary Bisbee: Thank you, that’s helpful.
James Peck: You’re welcome.
Operator: Our next question comes from the line of Andrew Steinerman with JP Morgan. Your line is now open.
Andrew Steinerman: Hi. Al, I want to dive more into the 150 basis points of EBITDA expansion for 2017. I was wondering if 2017 might mark kind of a new juncture for where TransUnion has really kind of caught up and got ahead of growth investments, and so maybe from this point forward higher revenue growth will drive higher margins, or are there any one-time step up in margins in 2017 that you want to highlight, perhaps like the platform change to Shape that happened last year?
Al Hamood: Yes, I would say the simple answer - no, there are no one-time benefits in 2017 that are propelling our margins to be at the levels which we believe are industry leading as we move forward. I would say what’s really happening is early in the transformation process and progress, like I talked about, in 2013 when we really launched on innovation and a new technology platform and really trying to scale our business, there was a significant amount of investments that we talked about had to be put into the business. What’s happened over that time period now are two things: one, those investments are generating returns which is driving margin expansion; and two, you’re still able to invest those types of dollars in your business for future innovation, but now you have it built into your cost and capital structure so you’re not taking an early wait-and-see return approach like you did in 2013 and ’14 when we really started to drive investment. So we feel very good about--well, I mean, just look at the quality of our earnings over the last several quarters. You’ve seen really nice revenue growth with really nice bottom line growth, and the drivers of that are obviously top line growth; but then a lot of the things Jim’s been talking about, such as our technology platform and scaling that out, what we see in ’17 is no different. While still being able to invest what we want to invest, you’re seeing those returns now make its way into our P&L as we move forward. So I believe in ’17 and beyond, the way we look out in the future, quality of earnings are going to be very, very good, and at this point in time we’re not anticipating any big one-time positives or negatives.
Andrew Steinerman: Okay, thank you.
Operator: Our next question comes from the line of Tim McHugh with William Blair. Your line is now open.
Tim McHugh: Yes, thanks. You touched on capital allocation a little bit, but can you talk about the M&A environment? Is there anything--obviously you have flexibility given the improvements in the balance sheet to put in place the repurchase program, but how should we think about the potential for M&A going into 2017?
James Peck: We’ll continue to follow the same path that we’ve told you we’re going to follow. As we look for acquisitions that either enable us to take our current capabilities into new verticals or countries, we specifically kind of like emerging markets or emerging countries because we see them trying to grow their middle class and create financial inclusion, and we’ll also look for companies like TLO, for example, that allow us to take new capabilities into our current markets. So you won’t see us get away too far from what we do well - we’ve kind of made that decision. We constantly are looking at new opportunities. We’ve truly created an engine here that you can apply our technology to many different kinds of data, something I’ve kind of gotten good at, I guess, over my career, so there’s nothing imminent but we continue to have opportunities to take really good looks at things, and I think because of our technology capabilities and the markets we play in, we probably I think have really good opportunities to create synergies, and really clear synergies when we do these things. All the acquisitions we’ve done so far have proven that it works, right, so you just go right in, you take out your synergies, you put in your technologies, and you’re driving top line growth. We’re taking all these innovations that we’ve done primarily in the U.S, but even in some of these other countries, and we’re moving them from country to country and even vertical to vertical as we do the new acquisitions. So it’ll still be and continue to be part of our strategy.
Operator: Our next question comes from the line of Toni Kaplan from Morgan Stanley. Your line is now open.
Toni Kaplan: Hi, good morning. You mentioned you’re expecting mortgage to grow in 2017 given growth in CreditVision, and if not for that you might have 100 basis point headwind if not for the new products. Could you just give us a little bit more granularity on how much growth you are expecting for mortgage in ’17 and incorporated in the guidance, and also how much runway you see left for CreditVision? Thanks a lot.
Al Hamood: Sure. I’ll take the mortgage question. As Jim said and as we went through, and I’ll answer your question directly, we spent a lot of time in the quarter looking and studying the mortgage market. We looked at approximately 165 million inquiries over the last three years to really triangulate and correlate on what we think obviously has happened, but what we think could happen. As we did that, we believe that the refi mortgage in 2017 could be down in the teens; however, new purchases could be up single digits, which means from a simple volume perspective, we believe volumes in the mortgage market will be down mid single digits. When you look at just volumes, and assume just constant pricing for a second, you would show the impact on our overall TransUnion revenues to be less than a percent of 2017 growth. When you add in CreditVision and our tier-based pricing models to those particular volumes, we get growth in our business; however, it’s lower than over the last couple of years. I think the important point for us and what has completely changed within our business model since 2007, ’08 and ’09, when I was here, is we’ve added, if you look at that time period, almost $900 million of revenue. The majority of that revenue has come from higher growth verticals, differentiated sources of revenue, international emerging markets, and new product growth. The point being is, and even over the last couple of years when people say mortgages were good, it has an immaterial impact versus what it used to have on our overall growth rate, given the diversification that we’ve participated in. So as we look into 2017, there will be growth in the mortgage business, it’ll just be a little bit less than what we had in previous years. That’s okay, because it’s the maturation of the overall mortgage market, but more importantly for us why it’s okay is because of the diversification that we’ve put in place now to become a bigger, stronger, more diversified business model, both from an operating standpoint but obviously from a revenue standpoint.
James Peck: I guess I’ll take the second half, which was how much headroom we have in CreditVision. Like I said before, we have meaningful headroom in CreditVision. Why? Many, many customers still have not implemented it. It truly changes the way your models work because it’s such a powerful tool, and so it takes time to do that and so there’s still a lot of implementation that has to happen. For us, this is not only a mortgage product, it works in card, HELOC, auto, so there’s a lot of room to go there, and it also isn’t just at the point of underwriting. It also is a portfolio monitoring tool so that you can start understanding how your customers’ evolving and decide if you need to market them new products, or even in some cases decide if you need to see if they’re getting themselves in trouble. So given that kind of broad footprint and the footprint across the whole market, we believe there’s continued penetration. We’re very highly penetrated - obviously Fannie is using us, but in fintech because they didn’t have some of the same implementation constraints. That’s just in the U.S, and then internationally--you know, in Canada, just to remind you, we’ve used it as a primary tool to get significant share and to have well above market growth. In Hong Kong, where we’re the only player, it drove significantly more use of our solutions, and we’re just implementing it in India, in South Africa and Colombia this year. So that just gives you kind of a whole road map of how that’s going to continue to be a nice growth driver for us going forward.
Toni Kaplan: Thanks a lot. Congrats on the quarter.
James Peck: Thank you.
Operator: Our next question comes from the line of Shlomo Rosenbaum from Stifel. Your line is now open.
Shlomo Rosenbaum: Hi, thank you very much for taking my questions. I’m going to kind of slip in two over here. I just wanted to ask, maybe Al, you can parse for us if there is a way to do it, how much you’re seeing underlying volumes just increase like-for-like credit report polls, either in batch or one-off type stuff, and how much is what you’d call innovation-driven growth in the quarter. Then just as a separate thing in terms of guidance, can you just talk about what level of free cash flow we should think of in ’17? 2016 was particularly strong, is there something we should that will not recur, or should we use that as kind of a base year? Thanks.
Al Hamood: I would say growth is--I mean, the actual underlying volumes correlate to the comments Jim said about the market, particularly for our core business. It’s a steady volume-based growth in the environment, just like the macro environment has been. Even when you normalize for some of the things that are perceived within the mortgage market, I would say solid GDP plus a point market. I think as you look at the split of revenues for the quarter, the underlying business grew very nicely, but the majority of the growth, more than approximately 50%, came from new product growth, international emerging markets, and higher growth verticals, all of the things that we have been talking about over the last three or four years ago where we have been investing heavily, and those continue to grow and the runway of growth looks very, very good. So what’s happening is our core business is growing as you would expect it, and then the international markets, the higher growth verticals and new product growth are lifting our enterprise growth even higher. So that’s why when we talk about it and Jim talks about it, we feel very, very good about what we’re seeing and where it’s going, which is the reason for our 2017 solid guidance. From a free cash flow perspective, I don’t--I think 2017--I think 2016 was a good year. I don’t think that there was any significant one-timers in it, and I think 2017 will be equally good and maybe even a little bit more normalized, because if you remember in 2016, we had in our adjusted EBITDA number, which we adjusted out, the costs associated with the Spark implementation. Since we’ve completed that, those costs will no longer be a deduct, so I think as you look at 2017, free cash flow will be very good. I think free cash flow will continue to track right to our adjusted--you know, quality of numbers like around our adjusted EBITDA, and then obviously you have to back out things that aren’t in EBITDA, like interest cash expense and cash taxes, but should be very, very good. In other words, the quality of our free cash flow should match the quality of our earnings; and no, I don’t see any big negatives or positives going into 2017.
Shlomo Rosenbaum: Great, thank you.
Operator: Our next question comes from the line of David Togut with Evercore. Your line is now open.
Rayna Kumar: Good morning, this is Rayna Kumar for David Togut. Can you discuss the timing of your CreditKarma Canada deal and if you expect any revenue and earnings uplift to your consumer interactive business with the new contract?
James Peck: Yes, so the timing--you know, it was signed at the end of last year, and so we’re in the middle of implementation. Frankly, that has a lot to do with CreditKarma’s timing, but it will definitely have a reasonably meaningful impact on the growth of our Canadian business.
Rayna Kumar: Thank you.
Operator: Our next question comes from the line of Kevin McVeigh with Deutsche Bank. Your line is now open.
Kevin McVeigh: Great, thank you. Just following up on that, the Chase agreement, how does that sit in terms of impact on ’17, and is there anything potentially of that size as you look to kind of expand those opportunities?
James Peck: So in what we call our indirect business in our consumer business, just to give you a little history, we’ve kind of been a trendsetter in the way that we started working with the Karma’s of the world very early on, and that taught us a whole lot and we signed some other pretty big customers. You will see the Chase impact in our overall consumer numbers, but I think--we believe that there is going to continue to be a trend, and we’re just seeing it in our pipeline, that we’ll continue to grow through closing these kinds of deals going forward, so there’s meaningful ones, there’s midsized ones, there’s small ones in the pipeline, so we believe that’s going to continue to bear fruit for us going forward. That’s just in the U.S., and I think what we talked about is that in these other countries that we’re in, that process is really just starting. Karma is just an example in Canada of us being able to close these kinds of deals in some of these other countries.
Kevin McVeigh: Got it, thank you very much.
Operator: Our last question comes from the line of Jeff Mueller with Baird. Your line is now open.
Jeff Mueller : Yes, thank you. Jim, can you talk to how the Prama contracts are structured? I know that it’s still early days in terms of penetrating a number of customers that are using it, but how do you up-sell the relationship with existing customers? And then, should we also think of Prama leading to new product development in conjunction with your customers? Then Al, can you just confirm if ASU2016-09 benefit is not accounted for in your tax rate guidance? Thank you.
Al Hamood: Let me take the first question. The ASU is not in our guidance. We’ll be transparent on the quarters as we move forward, but it is not in our guidance.
Jeff Mueller: Thank you.
James Peck: With regard to the Prama model, obviously it’s different depending on sizes are different, customers. The footprint we have, generally speaking, and this is a very complicated question because each customer group is different, what we intend to do with each customer is try to get as big a footprint as possible by adding as much value as possible, so that often means different approaches. So that can be on a per-seat basis, it could be on a usage basis, and so it’s hard for me to answer specifically what we do; but there is definitely incremental revenue that comes from the value we’re adding by allowing them to basically have real-time access to such a massive quantity of data. But if you were to sit and listen and watch the reaction as we present, they instantly understand the value and they want to get at this stuff, and that gets to the next part of your question. It definitely leads to further innovation or even more customization. Sometimes they will even come on our site - we have a whole lab set up so that they can give us three or four problems they may want to solve, and rather than solving it on their own, they want us to help and kind of pull all-nighters for them, show them the results in the morning that they can inject right into their own models. So there’s many different ways to go about this. In addition to the revenue part of this, it also is building our reputation as a thought leader and an innovator, which frankly leads to drag revenue and why they may shift other kind of more traditional parts of their business to us as well, so that helps us all the way around.
Jeff Mueller: Thank you.
Aaron Hoffman: Great. That brings us to the conclusion of the call. Thank you everyone for joining us today. Have a wonderful Valentine’s Day.
Operator: This concludes today’s conference call. You may now disconnect.